Operator: [Abrupt Start] George Saroglou to give us all the actions that you have been taking and give you more detail of the last 180 days specifically with your last 90 days, thank you.
George Saroglou: Thank you, Nikolas. It is my pleasure to speak with all of you today and provide with you details of the operation of another quarter. For those of you who are connected to the Internet in our website, there is an online slide presentation which format we will follow during the call. Let’s turn on Slide number there where we see the current fleet which consist of 28 product tankers all of them in the water producing for TEN. This is one of the largest product fleets in the market operating, in a product tanker market environment that continues to improve. The company has also 19 crude carriers where we’ve seen great improvements in certain routes in all three sectors in VLCC in the TD3 and Suezmax in TD5 and Aframax in TD5 which didn’t last as we enter the seasonally weak third quarter. The company also has two LNG vessels including one in the water and one on earth. The next slide gives us some market highlights despite new global economic outlook especially for the develop economist, global oil demand continues to grow. In July the International Energy Agency introduced its 2014 outlook which forecast demand growth of 1.2 million barrels per day over the 2013 period. We are currently about 91 million barrels per day which is an all-time high level although the market especially for crude tankers continues to have challenges and no major rate improvement is expected until the fourth quarter of the year. The good news is that we haven’t seen any new orders for crude tankers for more than a year and in the next two years the growth in all three categories VLCC, Suezmax, Aframax is very limited. With the Aframax fleet marginally reduced during the 2013 and 2014 period. Our product tanker, in our product tanker, rates are rebounded from 4 years of historical low levels talking about the period between 2008 and 2012 and the product tanker story continues to gain traction as refinery capacity continues to deal closer to the oil reserves in particular the middle east and further away from the OECD consuming countries creating ton mile demand for all type of product tankers. Looking at the corporate highlights, TEN successfully completed the project for the DP2 Shuttle tankers by ordering building and taking delivery on time of two high specification vessels that pass all charterer trial and approval test and begun in May and June of 2013 their 15-year time charter to Petrobras. The company pro forma fleet of 49 vessels includes 48 vessels in operation and one tri-fuel LNG vessel under construction. The company managed to change the size of their order from 162,000 cubic liters to 174,000 cubit liters and the delivery date from the first quarter of 2015 to the first quarter of 2016. The new size reflects the expanding requirements of the main LNG charter as an end-user which management believes will make the 174,000 cubic liter size vessel. The workforce of the LNG industry going forward. Although the prospects for the LNG market are slide and the current order book appears balanced. And the bulk of the new buildings and order will be delivered in the 2014, 2015 timeframe. Management decided to also change the delivery date to account potential start of delay in projects that are expected to be producing gas before the 2015 and 2016 period. The company also holds an auction for one more LNG vessel sister vessel to the (inaudible) to be declared later in the year. The fleet is 100% double hull, very modern, 6.6 years, 21 tankers have ice-class capabilities and 32 vessels out of the 49 vessel fleets pro forma fleet have several employments that ranges from 1 year to 15 years. One of our 1A ice-class vessels the LR2 Propontis is currently performing the northern group sea fossils taking cargo of NASA from northern Europe to Japan. Thanks to our tank charter philosophy, we continue to operate the fleet at a very high utilization rate, 98% for the first half 2013 when the average for the tanker industry is around 85%. Let’s move to slide number six, this slide has a main highlight of our press release 65% increase in operating income significant improvement in both second quarter and six-month 2013 net results almost that given for the half year against loss of 14.5 million in 2012. We maintain a strong balance sheet and cash reserves in way 60 million and preferred operating of beginning of the May which further strengthen the company’s growth prospects. We have introduced 9 charters, we have introduced new charters for 11 vessels in January 1, 2013 with minimum revenue approximately 135 million and this is a year that we celebrate our 20 years in the capital markets. The next slide presents a corporate fleet as it stands right now. We focus in three market sectors, conventional bankers, which cover both, crude and product tankers, LNG and shuttle tankers. Of the four markets, LNG and offshore shuttle tankers, are potential growth areas for TEN due to the growth prospects, favorable supply demand fundamentals and barriers to entry. Within conventional tankers TEN operates both crude and product tankers. We are one of the largest and most modern product tanker fleets in the water and we are in the water now which we take advantage of a freight environment which keeps improving. We have 21 ice-class tankers. The first two great flag shuttle tankers with around 15 year time chart is the Petrobras and have one LNG in the water and one (inaudible) vessel under construction plus one option. Since 1997, the fleet was built exclusively with new building orders in Korea and Japan. The next slide sources the clients of TEN with whom the company is doing the business over the years. Thanks to the quality of service, fleet modernity and the safety record of the enterprise fleet. In the same phase besides the names we also listed top seven clients of TEN and the (sales) in the revenue of the company for 2012. The next slide is the employment slide. We continue a balanced employment strategy for the corporate fleet to a niche of four charter CoAs pooling arrangements and (inaudible) that have six to eight and minimum rates with profit sharing arrangements. If we look at the product fleet, out of the 28 vessels, 21 operating time charters with fixed and profit sharing arrangements and seven vessels trade in the spot market. Of the 21 vessels with fixed employment, six have profit sharing arrangements. If one add the seven spot rating vessels you have 13 product tankers that already take advantage of an improving product tanker freight rate environment. Looking at the crude sector, of the 19 crude tankers, 10 have fixed employment and 9 vessels trade in the spot market, mainly the seven Princess series u from (Axis) and the two (inaudible) tankers. Out of the 19 crude tankers, six operating fixed time charters and 13 in a combination of market related CoAs, spot (inaudible) and full arrangements. The slightest improvement in the spot market for Aframax tankers will impact very positively the bottom line of the company. If we try to put a dollar value, this is the next slide, slide number 10. As of today, we have fixed 74% of the remaining days, available days of 2013 and 60% of the available 2014 fleet operating days. If we assume only the minimum rates, then TEN has 1,182 months of forward employment or 2.1 years per vessel and almost 1 billion to be precise 975 million in minimum gross revenue. The next slide of the company’s track record in sale and purchase activity since 2013, sale and purchase activities are an integral part of our operation as our record indicates. Fleet modernity is a key element of the corporate strategy and since our New York Stock Exchange listing in 2002 we have generated capital gain of approximately 280 million or another 28 million per year. And we have reinvested these capital gains in the renewal of the fleet by ordering the majority of our new building tankers before new building prices started to rise. Slide number 12 is the dividend history. The next dividend of $0.05 per share on the common shares will be paid on September 12. In total since 2002, we have paid $9.68 in cash dividends or approximately 380 million and this compares with the listing price in our IPO of $7.50 adjusted for the November 2007 (inaudible) fleet. We also announced and paid during July a dividend on the recently issued preferred shares. We paid $0.44 per preferred share on July 30, 2013. That concludes the operating part of our presentation. Paul will walk you through the financial highlights of the second quarter and first half of the year. Paul?
Paul Durham: Thank you, George. The really encouraging news is that for the first 181 days of 2013 we effectively book even with the loss of only $500,000 versus $14.5 million loss in the first half of 2012. And quarter two although turned out better than expected, the net loss being $1.5 million clearly considerably better than an early $6 million loss of quarter two 2012. Operating income for quarter two was $8.6 million against $10 million in quarter two 2012. But, for the six months, we achieved $18.3 million operating income against $11.1 million in the first half of 2012. While quarter two revenue was actually a little better than quarter one, certain factors indulged the overall result back into (red) These were mainly the continued fickleness of the tanker market which especially hurt the Aframax’s spot results, and three dry-dockings against just one in the first quarter. This negatively impacted revenue, voyage expenses and operating expenses, which was additionally affected by a build-up of stores up to two built tightening quarters. One of these dry-dockings continued into quarter three. Fortunately, for the rest of the year only three more dry-dockings are currently scheduled of which only one Panamax Andes starts in the third quarter. Quarter two revenue after commission and voyage expenses at nearly $72 million was close to the previous 42 level. Well as for the six months $141 million was achieved versus $138 million in the first half year of 2012. The product carriers mainly influences with market related rates achieved higher average vessels in quarter two 2012 but slipped slightly from quarter one’s achievement due to seasonal factors. Suezmax earned less on average on that list in the previous quarter two and Aframax mainly on spot wages and slightly higher than prior quarter two. Despite cheaper fuel and the quarter four sale of the VLCCs voyage expenses were considerably higher in quarter two than the prior quarter two, due to several vessels entering the spot market during the quarter. For the six months all the vessels had positive EBITDA which totals $68 million adding $62 million in the prior comparable period. The second quarter generated a respectable $34 million EBITDA on the voyages to Brazil to start operations both out shuttle tankers were able to pick up a spot cargo and earn a respectable freight. Otherwise they started a new charter only in mid-May and mid-June respectively. The full income generating potential will first be seen in quarter three with $8.5 million revenue contribution each quarter. Finance cuts for quarter two were $10.4 million a 36% fall from the previous quarter two mainly due to a reduction of swap interest after the expiry of seven swaps and of strict evaluation movements on non-hedging swaps. In quarter two we repaid $44 million in loans but there was a loan of $46 million relating to the second shuttle tanker the total outstanding loans at June 30 remains at $1.44 billion net debt to capital fell to 57%. Finally we raised $50 million gross from a preferred stock offering with a positive effect on liquidity and leverage. Although the third dividend whether paid yet or not do not impact the bottom-line they are included in calculating the loss to share in quarter two adding one negative cent. And this concludes my comments and I now hand the call back to Nikolas.
Nikolas Tsakos: Thank you Paul and hopefully and during your autumn report you are going to report some profits. So again thank you very much for listening in and if there are any questions we will be very happy to flaunter and clarify any points. Thank you very much and we will be happy to open the floor for any questions.
Operator: (Operator Instructions) The first question we have today comes from the line of Ben Nolan from Stifel. Please ask your question.
Benjamin Nolan - Stifel Nicolaus: I have a question actually a couple questions as it relates to the LNG vessel that is on order. And first of all can you maybe give us an update on financing and employment for that vessel? And then as it related to the option could you maybe give some sort of timeframe as to when you would need to exercise that option?
Nikolas Tsakos: Yes well as we said before the LNG is one of the segment that we will keep on growing the business we will not be seeing the company becoming a full LNG (inaudible) for the time being in its current format. So we are looking very closely we ordered the vessel as 162,000 cubic a couple of quarters ago and then we have been talking to a lot of our clients and they have insisted that with the changes in what is happening mainly in the United States perhaps the 174 design could be more acceptable design for the major clients. So I have to say that we took this decision because we had clients in mind and the delivery is in the first quarter of 2016 we expect to start that for the vessel by the first quarter of 2014. We do not have to make anymore payments we have paid all our down payments from our cash flow for the vessel so we don’t have to make anymore payments until let’s say the fourth quarter of 2014 and of course by the time the vessel will have been chartered we feel strong about that and having been chartered the remaining will be financed. And second option vessel where we have technical options to fit the requirements of our clients, and we have it, it's going to be a fourth quarter event. 
Benjamin Nolan - Stifel Nicolaus:  Okay perfect that’s very helpful and then the, may be associated with that when you upsize the capacity of the vessel does it cost more as there is more CapEx associated with it then it was originally the case and then my last sort of follow on question, could you may be give us an update as to where thing stand with respect to the idea of splitting some of the fixed rate assets into an MLP and may be, where thing stand timing that sort of thing? 
Nicolas Bornozis:  Sure, sure. It’s like a buying a larger car. Usually the secondhand salesman wanting to pay more for a larger car than a smaller car but if you decide there to buy two cars they might let you have it for the initial price, if you know what I mean. So that’s where we are and it depends really what we will do with our option, this clarifies the position yes of course you have to pay more for a larger and newer design but if you end up doing two ships you might not have to do so. So that’s still going on and as far as the MLP, is one of the companies I think started with the decisions to go forward and I think it will be as we speak we have lined up and we are talking to underwriters, we have done a lot of progress, we have set up for order, the companies that might be required to do this and depending on the market environment there should be a fourth quarter to first quarter event as we speak today. 
Operator:  Thank you very much, the next question here today comes from the line of Fotis Giannakoulis from Morgan Stanley, please ask your question. 
Fotis Giannakoulis - Morgan Stanley:  Yes, good afternoon and thank you, you had a really good quarter compared the overall shipping market particularly the crew tanker space and the similar companies very close to the profitability, hopefully next quarter. I want to ask you with your view on the overall shipping market, if you can position each of the sectors, meaning the cruise and the product and LNG containers and dry bulk sectors in the (inaudible) When do you see that each of this sectors will be turning around. 
Nicolas Bornozis:  Fortis, thank you and first of all, congratulations for the very happy event in your life from all of us here around the table. 
Fotis Giannakoulis - Morgan Stanley:  Thank you very much, Nick. 
Nicolas Bornozis:  Well as you understand, I mean we explain we are not so much focused on the dry cargo and container markets so let me start with the energy market which we are focusing all of our energy. I would say that we are seeing, as we speak, in the last six months done much better products market. And as long as people do not shoot themselves in the foot by overall (then) I think this is a market but as momentum for the next couple of years. So, we are positive in that I mean we are like it because we as George said we have the vessels 28 product carriers in the water already, and we are taking advantage of this I mean we are seeing, looking on the earnings or even we have smaller ships of 37,000 tonnes product that is earning in excess of $20,000 a day which is much more than people can say for crude carrier VLCCs. So that market seems to have turned a corner as far as demand is concerned and it’s up to us not to oversupply it, and as Vice Chairman of Intertanko, we are trying to tell our members but we should be careful not to oversupply the market because finally this market has turned the corner. Going on the crude carriers, I think whenever something is very depressed for a very long which is the case for crude carriers; this is the time that you start being optimistic. And we see signs that the market is balanced we see when there are movements of ships, moving out of the Mediterranean and going down to the U.S. gulf there you can feel the gap of even five or six ships meeting (inaudible) from the market so I think it’s the time of, this market should start turning. The LNG, if you follow the projects that are there done for the LNGs, the prospects are very, very positive, however as you know more bigger structural projects take a lot of financing and time and any (inaudible) slow down can put them six or nine or ten months down the road and that’s why we took a decision also to move the delivery of our ship for a six to nine months with a new orders because we believe that we will fall in a time where all the excess capacity that was ordered will be taken out of the market. So if you ask me, I would feel very strong for the number one for LNG. And then the offshore which is the market our shuttle tank is out there, products and crude to put them in line. And I am afraid I do not want to, I am not educated enough in the other markets to you give you an answer for containers and dry cargo. But perhaps in a personal call we can discuss these markets also. 
Fotis Giannakoulis - Morgan Stanley:  You mentioned earlier about your expansion plan from the potential were exercising well in the auction. Can you remind us what is the final bet that you can exercise this option? And also in the past there was a discussion for a potential additional shuttle tanker for even FPSO transaction. Is there any activity in this front? 
Nicolas Bornozis:  Yes we're looking at all the fronts of energy; I think you start most of the ones that we're dealing with right now. The LNG we're looking at the option to be in the fourth quarter, on the shuttle tanker we're looking right now we haven't seen visiting our clients that are using shuttle tankers to see if finally we will take that option or do something else with it. On the FPSO a couple of days ago our very good VLCC vessel, the Millennium which we built in 1998 on the 15 year charter has been come out of that charter, and we're negotiating a five year FSO project with that.  So we keep without losing the focus which is today chartering the ships, we are looking also at more exotic column markets. 
Fotis Giannakoulis - Morgan Stanley:  So I understand that there are no immediate plans for acquisition, let's say product tankers. And also if you can comment on the LPG market, we saw some of your peers entering into this sector. And how do you view the potential of you buying LPG vessels as well? 
Nicolas Bornozis:  I think we do not exclude we're saying the LPG market was actually follows on the trend of the LNG market, is having momentum. And we're an energy company, we do not exclude looking at these opportunities and actually we're building, big Korean yards are bringing us these possibilities. So we're looking at those too. But again we'll keep our focus on the day to day business. 
Operator:  (Operator Instructions). Our next question today comes from the line of Urs Dur from Clarkes and Capital. Please ask your question. 
Urs Dur - Clarkes and Capital:  Actually my question was on expansion plans, and I think you really addressed everything there. And as such I was just wondering what you thought of, we're seeing some real growth in the order book on the product tanker side and everybody talking about the eco-ship discussion. I was wondering if you could help us to the eco-ship value and your views on the design or whether you want to refrain from that I am not sure. But just to hear your expert view on that front? 
Nicolas Bornozis:
 : You want me to make headlines again. The things we say are very, I hope this is un-logical to everybody. But what we're saying is that we are all supporting technological changes. We have a team of our neighbor engineering and we always look at this, we build our shuttle tankers in a yard from scratch. But what we believe is that the technology and economy has to make also financial sense. What we're saying today is that for companies like ourselves with very modern clip, it's worth spending quarter to $0.5 million, if you kind of achieved, I am talking about the products that is not very large ships. You can achieve exactly the same results on an investment of $0.5 million other than investment of $36 million. So, right now, the market has been suffering from being flooded by vessels. So any ship owner with a long term view was not a short term fund or et cetera is looking to be able to make returns for him, his shareholders for a long period of time.  So I think we're supporting the new technology. We believe that new technology always matures and you have a new technology after that coming. So from our case I believe we're doing good for the market to refrain from new buildings until charters are there to significantly pay for them and until the technology is proven. So, we are not against any of those ships but we believe that the industry, when I say we believe in Intertanko, which I represent as a Vice Chairman and since, we believe that the industry has suffered five years because of all the supply and supply we put in the market, but this does not mean that we are not going to look when the time comes for those new ships when the technology act surely will prove itself. 
Urs Dur - Clarkes and Capital:  How about the possibility of modifying a record to these ships to seek out more efficiency, I know you run efficient ships in the first place, so it’s not a comment necessarily on your fleet but is that something you’ve considered for certain ships and do you think there is some value in doing that. Again, more of the broader market discussion, not referring to your specific fleet. 
Nicolas Bornozis:  No, no, no. Also to our fleet, yes, we are doing so many special surveys, we’re putting the new paints, we’re objecting the team, we’re working on the propellers; we’re fixing the boilers, the blowers. So, right now we have a VLCC, I don’t want to give too much technical information. Now, VLCC is steaming towards north, burning in the mid 30s, between 35 and 38 tonnes.  So, I think this is things you can achieve it more than ships with, we just spend a couple of million dollars on that VLCC once it was the yard to be able to achieve these results and of course instead of burning 70 or 80, if you able to burn another (inaudible) between 40 and 50 once it’s loaded, the (inaudible) huge to 20 or 30 tonnes in today’s environment instead $15,000 a day. So, there is a lot we can do as an industry, we’ve modern ships without having to order new ships with. I think we should, don’t be in the boat, I don’t know anybody who really wants to order ships and bring the market down. So, I think we should all be exactly in the same boat. 
Operator:  Thank you very much. The next question today comes from line of Omar Nokta from Global Hunter Securities. Please ask your question. 
Omar Nokta - Global Hunter Securities:
 : Thank you. Good afternoon guys. Just want to follow up on the comment you made regarding the VLCC, the Millennium rolls up contract soon an invention currently negotiating a five year charter, if I’m correct. I just wanted to get a sense on what kind of CapEx you’re looking at having to put into the vessel order to fully convert it into an FPSO? 
Nicolas Bornozis:  Well, this yes, we are having this calculation, the vessel will be supporting vessel for the FPSO and I think the concepts in our regard that was couple of million. So, as the head of our bidding department conference, we take a couple of million plus about 20 days of (work), 30, 35 days of (work). 
Omar Nokta - Global Hunter Securities:
 : Just to be as an SPSO or just FSO. 
Nicolas Bornozis:  That will be a supportive sort of supporting VLCC for our next year projects. 
Omar Nokta - Global Hunter Securities:
 : I have been understood, I thought for some reason that was going to be an SPSO. 
Nicolas Bornozis:  Or else you’ll, so would be bit more extensive of that.
 :
Omar Nokta - Global Hunter Securities:
 : Alright, so just a couple of million and little bit of our file? 
Nicolas Bornozis:  Yes. 
Omar Nokta - Global Hunter Securities:
 : And are there any other assets in your portfolio now that you think would at some point go straight as well, I know you have a pretty modern fleet outside of the VLCC. But you see anything else that you would point in that direction? 
Nicolas Bornozis:  Well, I think our first generation shows max which although they still have a very locative longer term employments, they would within in the next, naturally the next contenders when then market is better for sale kind (inaudible). 
Operator:  Thank you very much. (Operator Instructions). We have a follow up question here from the line of (inaudible). Please ask your question. 
Unidentified Analyst:  Actually, (inaudible) asked the question on the FPSO, that’s it for me. Thanks. 
Operator:  Thank you. (Operator Instructions). Thank you very much. There are no further questions at this time. Please continue. 
Nicolas Bornozis:  Well, thank you very much for participating. We hope that the next, our next report sometime in November would be even better. We hope it will be significant, better we want for all of you to enjoy August. Make sure that you drive a lot of your cars so you spend gasoline that we transport and you help report that might get better and wish you a nice and peaceful relaxing summer. Mr. Chairman. Some wise words from our Chairman. Thank you very much. 
John Stavropoulos:
 : I don’t know how wise they are. I’ve been reading the reports of the major oil companies, BP, Chevron, and Royal Dutch Shell, and I’m sure you have all seen that they are very concerned and distressed by the fact that their proven reserves are shrinking very rapidly. Their response is, they are going to do a lot more offshore and they are going to do a lot more in developing of gas resources. Both of these play very well into the future expansion of TEN, and we are very encouraged by that. 
Nicolas Bornozis: Thank you Chairman, thank you very much, bye, bye.